Operator: Good afternoon. And welcome to Applied Blockchain's Fiscal Fourth Quarter and Full Year Ended May 31, 2022 Conference Call. My name is Andria, and I'll be your operator today. Before this call Applied Blockchain issued its financial results for their fiscal fourth quarter and full year ended May 31, 2022, in a press release. A copy of which will be furnished in a report on Form 8-K filed with the SEC, and will be available in the Investor Relations section of the company's website. Joining us on today's call are Applied Blockchain's Chairman and CEO, Wes Cummins; and CFO, David Rench. Following their remarks, we will open the call for questions. Before we begin, Jeff Grampp from Gateway Group will make a brief introductory statement. Mr. Grampp, please proceed.
Jeff Grampp: Thank you. Good morning everyone and welcome. Before management begins their formal remarks, we need to remind everyone that some statements we're making today may be considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and a public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures in the reconciliation tables to applicable GAAP measures in our earnings released carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including but not limited to risks and uncertainties identified under the caption risk factors and our IPO prospectus. You may get Applied Blockchain Securities and Exchange Commission filings for free by visiting the SEC website @sec.gov. I would like to remind everyone that this call is being recorded and will be made available via a link in the investor relations section of Applied Blockchain’s website. Now I would like to turn the call over to apply Applied Blockchain’s Chairman and CEO, Wes Cummins. Sir, please proceed.
Wes Cummins: Thanks, Jeff. And good afternoon, everyone. Thank you for joining us for our fiscal fourth quarter and full year 2022 conference call. While we are a young company, we've been busy and I'm pleased to share our progress with you today. First, I want to highlight our fiscal fourth quarter results as we reported revenue of $7.5 million above our guidance of $7 million to 7.4 million which was already increased from our initial range of $5.7 million to 6.2 million. Our first data center located in Jamestown, North Dakota has overall performed quite well for things under our control. The facility energized in late January and had over 90 megawatts of the 100 megawatt nameplate capacity online in June. However, as we reported in mid-July, there was an unexpected equipment failure at the substation powering the facility resulting in a partial outage of about 50%. We expected the power provider to restore full capacity by early September and they have been a great partner for us by responding diligently and getting full capacity back online in mid-August. As a reminder, the Jamestown facility was not damaged and remains fully operational and capable of hosting the entire 100 megawatts of capacity. Anecdotally, we heard from employees that are power provider that have decades of experience that they have seen this issue only a handful of times in their career. So this is truly a rare force majeure type event. We also continue to make progress expanding our co-hosting capabilities through the build out and expected energization of additional facilities. Our second facility is co- located with a wind farm in Garden City, Texas with plant capacity of 200 megawatts. Construction began in late April and the first buildings have been constructed with the majority of the electrical equipment required already on site. Our base case expectation is we will begin energizing Garden City in the fourth calendar quarter of 2022. But we are currently ahead of schedule so there may be some upside to the start date. Our third facility which is located in North Dakota at a different site than our existing Jamestown facility is also continuing to move ahead. We have executed a letter-of-intent with the utility and are in the late stages of design and pre- construction. Also on August 15, we entered into a purchase agreement for the raw land to help the site. We expect groundbreaking to occur in the third calendar quarter of 2022 and energization to begin early in the first half of calendar ‘23. For reference we are a few weeks ahead of where we were with our Jamestown facility this time last year. With a slightly earlier start and significantly more experienced I would expect us to be able to bring this facility online a little earlier than we did with Jamestown. Now this growth would not be possible without strong demand from a quality customer base. So I want to take a moment to remind everyone of this component of our strategy. We aim to partner with some of the best and most recognized names in the cryptocurrency industry from the get go, which provided expertise and resources from an early stages as we initiated our co-hosting business. These groups have not only invested in our company that have contracted for material power with us on a multiyear basis. In fact, our partners have contracted out the entire 100 megawatts of our Jamestown site and have committed to 85 megawatts at our second facility, thereby providing us with a low risk revenue stream looking forward. Our strategy is to have capacity committed by customers before breaking ground on facilities, which substantially reduces the risk profile and avoids us needing to build datacenters on a speculative basis, the demand will materialize. Currently, all plant hosting capacity is fully committed either through contract or option. In addition to the strong names, we also definitively jumped into working with public Bitcoin miners for our significant agreement with Marathon Digital Holdings that we announced in July. In the past, we have talked with many of you about our thesis that publicly traded Bitcoin miners will have a need for our co-hosting services. So we are proud that a leading bitcoin miner and Marathon selected us for their hosting needs. Specific to our Marathon contract date, have signed a five year deal with us for 200 megawatts of hosting capacity with an option to expand the contract to 270 megawatts. We expect to host a portion of their contract at our Garden City facility I previously discussed and the remainder will be hosted in third facility currently under development in North Dakota. We expect to begin energizing Marathon’s miners in the fourth calendar quarter of 2022. And for all miners associated with the 200 megawatt contract to be energized by the middle of calendar 2023. I'll now turn the call over to our CFO, David Rench, to walk you through our financials before providing closing remarks. David?
David Rench: Thank you, Wes. And good afternoon, everyone. Before I begin my remarks, I would like to note that similar to last quarter’s call since we did not have operations in the year ago comparable period, we will not be providing any year-over-year comparison. Revenues in the fiscal fourth quarter were $7.5 million, which is Wes mentioned earlier, was above our guidance of $7 million to $7.4 million, which has already increased from our initial range of $5.7 to $6.2 million. Our revenue was attributable entirely to our hosting operations as we continue to ramp power generation in our first hosting facility in Jamestown, North Dakota. Hosting revenue excludes upfront payments, which are recorded as deposits or deferred revenue. Cost of revenues in the fiscal fourth quarter were $7.4 million. Cost of revenue consists primarily of electricity costs associated with Jamestown. Other costs include personnel costs for employees directly working at the hosting facility and depreciation expense for equipment and service and hosting facility. Total operating expenses for the fiscal fourth quarter were $4.3 million, almost all of which were attributable to selling, general and administrative costs. Adjusted net loss from continuing operations for the fiscal fourth quarter was $4.3 million or $0.06 per diluted share based on a weighted average fully diluted share count during the quarter of $76.6 million. In the fiscal fourth quarter, we had a net gain from discontinued operations of $1.8 million. This is attributable to mining revenues and a gain on the purchase and subsequent resale of miners. Net loss for the fourth quarter was $2.8 million or $0.04 per diluted share based on a weighted average fully diluted share count during the quarter of $76.6 million. Adjusted EBITDA and non GAAP measure for the fiscal fourth quarter was a loss of $3.1 million, which was better than our guidance for a loss of $4 million to $4.6 million. Lastly, on our balance sheet, we ended the fourth quarter 2022 with $46.3 million in cash and equivalents and $7.2 million in debt. We also ended the quarter with approximately 97.8 million shares outstanding. And as a reminder, we fully converted all of our outstanding preferred stock to common stock concurrent with our IPO in April 2022. Subsequent to the end of our fiscal year we announced the share count reduction associated with SparkPool leasing cryptocurrency operations and not fulfilling its obligation associated with a past service agreement. As a result, you will notice our outstanding share count towards the end of August as indicated in our 10-K was approximately $92.8 million. Additionally, we announced earlier in August that we agreed to a $15 million credit facility with the North Dakota based thing, proceeds from that facility will be used to repay our existing debt and provide additional liquidity to fund our continued datacenter buildup. It's important to note that due to state based economic incentives that we expect the interest rate for the first 13 months to be 1.5% before reverting to 6.5% for the remainder of the term. Now turning to guidance for our fiscal first quarter ending August 31, 2022. We expect revenue in the range of $6.5 million to $6.9 million or $6.7 million at the mid-point, we expect to generate an adjusted EBITDA loss of $2.2 million to $1.8 million or $2 million at the midpoint. Note the guidance figures are negatively impacted by the limited power supplied at our Jamestown datacenter, which was alleviated in mid-August. That completes my financial summary. Now I'll turn the call over to Wes for closing remarks.
Wes Cummins: Thank you, David. I want to close our prepared remarks by providing an update on the robust demand we continue to see for our services despite the headlines around cryptocurrency volatility. Consistent with our original thesis about our business access to reasonably priced power and related infrastructure continues to be the number one bottleneck and growing cash rate for the majority of Bitcoin mining operators. Accordingly, we continue to have robust interest from miners in partnering with Applied Blockchain, putting us in an enviable position of growth where we can build datacenters with the revenue essentially contracted out before we even break ground. We're also continuing to have active discussions with a number of potential non-cryptocurrency customers. As we discussed in our last call, we expect to host hardware for other applications potentially including image processing, graphics rendering, artificial intelligence, machine learning or other blockchain networks in the future. We look forward to reporting on our first contract with these types of customers, hopefully in the not too distant future. Now the last topic I want to cover is our strategy for funding all of these growth opportunities, especially in the context of tight capital markets for many companies associated with cryptocurrency. Something we have added to our financing options since our last call is requiring a significant prepayment with our new hosting contracts. We amortize this prepayment back to our customers over the first 12 months of operations, providing us with non-dilutive capital to build our sites and keeping us in fall over cash flow positive position when operational. We can then use this prepayment along with modest amounts of lower cost debt that is secured by our infrastructure assets to cover the majority of CapEx required to build our datacenters. Case in point on the debt is the recent $15 million credit facility David mentioned that has an interest rate of 1.5% for the first 13 months, not months and almost unheard of interest rate for a company of our size, and in the industry we're in. We attribute this to locating in states that are favorable to our business, and possessing a differentiated lower risk business model that more traditional lenders are comfortable with. Also, keep in mind that we have a joint venture with Bitmain for up to 1.5 gigawatts where Bitmain will pay for 20% of the equity contribution. These options along with our existing cash balance and future cash generation as we turn more facilities on puts us in an excellent position to continue our growth plans. We are now happy to take your questions. Operator?
Operator: [Operator Instructions] And our first question will come from Chris Brendler of - D. A. Davidson.
Chris Brendler: Hi, thanks, good afternoon. Congrats on the solid results. Wes, I wonder if you can give color on the gross margin outlook and just where power prices stand today. And should we expect gross margins to improve as we go forward just because we get sort of in a normal, more normal environment in power, or was it obviously the outage is probably impacting that as well. So just on an apples-to-apples normalized basis what's the gross margin outlook is it going to ‘23?
Wes Cummins: Yes. Thanks, Chris. I'm going to make a few comments. And I'm going to turn it over to David to talk about this. But if you recall, so this is our May ending quarter, we had some months in that quarters, we were ramping up where we had minimums to pay for our power provider, even if we weren't using those so that really was a drag on the gross margin and the quarter, you'll see that correct more in the current quarter in August and August the power outage doesn't impact us really as much on the gross margin. It'll hit us a little bit on the labor, the direct labor where we didn't shrink that down as much so but before I turn it over to David, just on the power side, we've definitely seen power inflation. But we've talked about this before. We still see it somewhat in our business. But we're very meticulous about our power sites and the contracts we sign and we spend a lot of time making sure we have really high quality contracts that give us kind of as close to we can, as we can get to fixed rates in the utility or in the electricity business, it's really hard to get truly a fixed rate. But we get as close as we can get to that. But we'll see some pressure on that, but not lot in the future. But let me turn it over to David on what you should be looking for.
David Rench: We have escalators in our contracts. So that will help protect the margin, I think 25% margin is a reasonable kind of expectation going forward.
Chris Brendler: That's great. It's very helpful, just follow up on for both your answers this Marathon, it says a meaningful portion of the power capacity has been already contracted. I think we've heard from others, including Argo this morning that they were kind of reluctant to get into a power agreement given where pricing is today. So can you talk about how much is that? How -- what percent is a meaningful portion, I would imagine I mean over 50%? And then what kind of pricing do you expect on that power contract as you finish it up?
Wes Cummins: Sure. I mean, so we're locked for Texas, right? We obviously have Jamestown site for the contract. And that contract was -- is five year deal, it has kind of a slight adjuster that really doesn't change a lot year-over-year. But changes kind of month-to-month, depending on what's going on that month. In Texas, we're going to talk a lot more about what we're doing in Garden City in the next few weeks, when we -- we're under NDA with our partner there who's an asset owner. We'll talk a lot more about that, like we should announce that hopefully in the month of September, and be able to talk more clearly on that. But that is a largely fixed contract for us. Where it's been hedged out in the future. There's some variability in that. But it gives us pretty good predictability on that power price. We don't say exactly what our power prices are. But generally, we're looking for under $0.04 on most of our facilities. And then where we're at in our new facility in North Dakota, we have a term sheet sign there, we're moving into where we sign the ESA, we've been through that process in North Dakota before. So we have to go in front of the PSC for approval before we actually signed the ESA. But we have terms set forth even in the current environment for that. And the power rates are extraordinarily attractive to us. And then we'll, all will flow through to the pricing for our customers as well.
Chris Brendler: That's great. I love that part of this model just get – getting locked up in front and just collect a spread. One last one just real quick, early September to turn things back on. It's late August right now. So are we still on track for early September?
Wes Cummins: Oh, sorry. I didn't catch this in the remarks and we turned on last week. We turned on ahead of schedule. We reenergized the facility in North Dakota.
Operator: Our next question comes from Lucas Pipes of B. Riley Securities.
Lucas Pipes: Thank you very much, operator and good afternoon, everyone. Congrats on the announcement of the last few weeks. That's really terrific work. Wes, I wanted to turn my first question to something you mentioned in your prepared remarks. And you mentioned opportunities of non-Bitcoin mining. In you frame up the order of magnitude that we might be looking at, is this in the 10s of megawatts, hundreds of megawatts? How big would you size this up initially? I understand longer term this is a huge market but for applied, how big opportunity in the short term. Thank you very much.
Wes Cummins: Sure. Thanks for the question. So on when we're looking at non-crypto opportunities we've been in discussions with multiple parties, and it ranges anywhere from doing kind of an alpha test at our facility, as it stands now to building out a little more robust kind of infrastructure, either inside the buildings we have or a new build. In fact, one of the ones is gotten to the point where we've asked for, actually have one of our power providers in Jamestown, actually to give us an additional 20 megawatts of maybe uninterruptible power for this but it's going to go anywhere from that to we're talking to one extremely large potential customer that would really be kind of that anchor tenet for us similar to how Bitmain came in for us on Bitcoin that because that can really springboard us into more traditional like HPC applications, but we're getting a lot of interest and I'm feeling really good about that. And that's one of the reasons we also announced the name change earlier today just to reflect the fact that we're still obviously laser focused on the Bitcoin mining but also we're branching out into other applications.
Lucas Pipes: Thank you, Wes. On my second question, I wanted to touch on the financing environment. In August 12, you secured the $15 million credit facility with the North Dakota based bank, and from here on out is how repeatable and scalable is that source of financing Thank you for your color on that.
Wes Cummins: Sure. I'll make a few comments. Then I'll turn it over to David on that. But the team there has done a great job really developing that network for us. So what we've really went to initially is kind of community banks in the areas that we're building. We've tapped into some programs, specifically in North Dakota. But we'll have some financing in place for Texas in the next few weeks as well at an attractive rate. So they've done a great job doing that we're trying to scale that to kind of a next level of banks. And we're nowhere near the money center banks yet, but we're getting banks are just I think getting more comfortable with what we're doing is they see these come online, and they see the model. The thing that's really helpful for us is when they go to look at these, it looks much more like a standard real estate deal to them, because we have customers with contracts and contracts on both sides. So it's easy, even though it is crypto for them to kind of wrap their mind around just the kind of the real estate and the colocation opportunity, but I'll turn it over to David to add anything on that.
David Rench: Yes. We reiterating what Wes said, the model is definitely repeatable. It's a standard business model and getting very good appraisal, as a real estate item for us. And so it's working very well.
Lucas Pipes: Thank you. And quick follow up. When I think about the capacity build out and the capital needs of the business. Is there a ratio that would be reasonable for my model? Is it 50% loan to value 70%, what do you think is a good target for that?
Wes Cummins: I think the near term goal, Lucas, is to get to 50% loan to value. And then I think as this matures, we'll be able to move that up. But I think the goal really is to get to 50%. So we're a little bit closer to the 40% range for Jamestown now with a new loan. So we'd like to keep marching that up.
Operator: Next question comes from John Todaro of Needham and Company.
John Todaro: Thanks. Congrats guys on the quarter. Two questions here just first, on getting ahead of schedule with the outage. So initially, you guys were expecting September and now it looks like we're ahead of schedule on that. So how long was the downtime, was four or five weeks?
Wes Cummins: Let's see. It was it close to two months.
John Todaro: Close to –
Wes Cummins: It happened, we thought, so just as the timeline goes on that happen kind of later in June. And then we weren't certain for us when it was going to come back online. There was a thought that it could come back online in a few days. And there was a lot of testing done and when we had really clarity on when that would come back online is when we AK that.
John Todaro: Okay, got it. Okay, that’s helpful just for the model here. And then when we do think about those, those future expansion opportunities that sounds like an attractive opportunity set, but which, I guess, is there any more color on how the economics compares to Bitcoin miners? Whether the gross margin would change based on that if there's anything of additional color there as you guys move towards this new set away from Bitcoin mining?
Wes Cummins: Oh, you mean, do you're talking about the HPC? The more general HPC.
John Todaro: Exactly. Yes.
Wes Cummins: Yes, I think, you should expect what you can look at other players that are more I guess, traditional datacenter where I would expect a higher gross margin. But those sites are some of these especially versus the big puts and takes this you get a higher gross margin, more traditional I guess, maybe call it stable customer base. The other side of it though is that you have to either modify existing facilities to do this or build some new co-located with our facilities that the CaPex for these would definitely be probably 2x or so what we're doing on the Bitcoin mining side on the colocation for crypto. But the economics are very attractive. I mean, the real goal on these just to expand on that, John, is taking high performance compute away that can be taken away from really low latency applications or locations. So places that are really built for like video streaming, and moving those to what we think we have really ultra-low cost locations, great power prices, all the things that you want to use for Bitcoin mining, but it can be used for HPC as well, just kind of the non, they'll still be high speed connections, just not ultra-low latency.
Operator: Next question comes from Mike Grondahl of Northland Capital Market.
Mike McHugh: Hi, this is Mike McHugh. John for Mike Grondahl. Thanks for taking our questions. May be first just on that bill, passed and sign in. Is there any -- do you see some benefits there for you, I suppose to be around like financing the tax credit.
Wes Cummins: I'm sorry, which bill specifically.
Mike McHugh: Just around some of the green energy. I think the inflation enacted [Multiple Speakers]
Wes Cummins: I understand. So that's not going to, I don't think there's going to be a lot for us initially on that. Mostly the partners, the people that we seek to partner with are going to be the beneficiaries of that. Which likely leads to more of the kind of renewable capacity coming online but I don't think right now we expect to get any direct benefit.
Mike McHugh: Got it and then maybe just headcount in like, where that's sitting today versus last quarter. And then what you got to see that for internal headcount over the next 6-12 months?
David Rench: Yes, I think we're right around 70 employees right now. And we'll continue to grow that as we add the centers into operation. So we'll be pushing up towards 100 probably next quarter or so.
Wes Cummins: Yes, and you should think on these sites. So from a corporate perspective, I think we're, for the most part built out, we have a few positions left open right now. But every time we open a new site, you're going to add somewhere between 20 and 30 employees on the site roughly.
Mike McHugh: Got it, maybe just a quick follow up on that one is hiring market notes spaces that get a little better anything or locked in?
Wes Cummins: I'm sorry, can you repeat that?
Mike McHugh: Just the hiring market for those built out that getting –
Wes Cummins: Yes, it's very localized, so in Jamestown we've had a lot of success there. It was a slow start in Garden City but we've had some much more success recently there and then the new site, we're definitely going to move some people from Jamestown down to the new sites about an hour and a half away from Jamestown but it is a smaller town and so we'll see how that goes, but so far it's been very successful. I think we've got a really good start on Garden City. We have the lead there that the manager in place who actually was an employee at Jamestown that really excelled there. So our HR department has done a good job going into these small locations and getting a good workforce put together for us.
Operator: Next question comes from Rob Brown of Lake Street Capital.
Rob Brown: Good afternoon. Thanks for taking my question. On the Garden City facility, I think you said you had most of the equipment in place. Are you have any dependencies on supply chain there and getting transformers or is that that pretty much in place? And it's just the time to get this facility completed?
Wes Cummins: I think we're feeling really good about supply chain there and for the new site in North Dakota as well. We've placed orders for transformers over six months ago, we basically held the place in line for that, that part is actually gotten a little easier for us, we have this switch gear. We, I should have an update, I got on the call without getting it but we have multiple buildings standing already. I don't know exactly how many. But those still out there, there'll be some finish out work to do there. But the supply chain pieces come together really well for us on that one. And I think that'll be the case for us in North Dakota as well.
Rob Brown: Okay, great. And then on a new business pipeline. Where are you at in terms of adding contracts? And when you sort of expect to think about your fourth and fifth facilities?
Wes Cummins: Yes, that so we're negotiating one fairly large contract now. And then others, actually, we have a couple out for 100 megawatt plus type contracts that I would expect we could sign before the end of the year. And we have sites that we've evaluated, and can start the development and building those out as soon as we sign those. But honestly, right now, our hands are pretty full with the two sites that we're building out, we need to get those online and kind of the cash flow from those to build our next site, actually, so it's just a matter of staging that, but we definitely still see the demand. And we continue to evaluate, I think we have something like 10 or 12 sites in our pipeline that we're evaluating.
Operator: Next question comes from George Sutton of Craig-Hallum Capital Group.
George Sutton: Thank you, Wes, just to follow up on that last question. So you address the supply side, the infrastructure side, you mentioned robust demand. I think most folks who don't necessarily follow this closely would assume that that robust demand isn't there anymore. Can you just walk through the demand side of the equation as you see it? Is it literally a scenario that if you could build it, they will come?
Wes Cummins: Yes I don't know. It's a great question. I don't know the limit to it. But I think there's still a significant amount of demand, the dynamics of that are interesting, because I think there's a lot of either machines that are here already mining equipment servers that are here already, that need to be plugged in, or they're set to be delivered on annual contracts over the next six months that need to be plugged in. So you have that setup, which is really the big demand driver. As you go out further really depends on I guess the pricing of equipment, and cost of electricity and where the breakeven is, but I would say kind of with the current pricing on Bitcoin, you probably don't have a huge appetite from people to go and buy a lot more new equipment. So you might start to see that drop down, maybe six months from now or so. But there's still a lot that is being delivered and needs to be plugged in. And so we still see that demand right now, I don't want to make a guess out six or 12 months out what that will be like unless pricing changes. But right now we see a huge amount of demand that we can't build enough to fulfill.
George Sutton: Perfect and relatively the definition of the second facility in North Dakota, having an LOI in place. Can you just give us some clarity on I think, is it just the PSE meeting and approval? Is that really all that's between this and effectively a definitive agreement?
Wes Cummins: Yes, we might get to definitive before but right around, but those are the two plate pieces left. But the LOI sets out all the terms the definitive is largely negotiated. At this point, there's a lot of puts and takes on what you want on the agreement, it's not just pricing. And then in the next couple of months, we'll go in front of the PSC and then hopefully get approval and be able to fire that facility up. Like I said, we're a few weeks ahead of where we were last year, we've had the experience up there, we know how to navigate North Dakota, pretty well at this point, and it's a great state to work in. So I feel really good about that site.
George Sutton: Great. Last question, if I could. The 75 megawatt option for Marathon, can you give us any detail in terms of timeframe that exists for and if you had the facility in place today would that likely be an option that they would take?
Wes Cummins: Yes, so the option is open ended there and so if they have an interest in getting more from us they obviously have another provider as well. And we have a big, we got a big contract already to fulfill for them and get them online for the 200 but it is open ended and I think if we execute on timeliness of getting them online, and they and we operate our other site like we're doing in North Dakota. I think there'll be pleased with that and I would hope they would pull the trigger on the additional megawatts.
Operator: Next question comes from Kevin Dede of HC Wainwright.
Kevin Dede: Hi, Wes, thanks for taking this. But could you -- is there a way to quantify or can you offer some sort of quantification for your infrastructure to be built and the cost? Maybe in $1 per megawatt time sort of framework?
Wes Cummins: Hey, yes, absolutely. Hey, Kevin, been a long time. Good to hear from you. The, we've talked about this publicly before about. You should think about $350,000 per megawatt cost to build.
Kevin Dede: And then you mentioned to 2x that for the HPC.
Wes Cummins: Yes, we're just getting into that. We're looking at designs for that. But it's definitely more expensive. You get, by the way, that the revenue and EBITDA per megawatt are significantly higher, too, because it's a lot more equipment, you're running, think of running CPUs and GPUs that are Nvidia or AMD very power efficient, but still do consume a lot of power, because they're doing a lot of computing processing.
Kevin Dede: Understood. Have you considered immersion in Garden City?
Wes Cummins: So we are testing in the next, I think we'll have that online, three weeks or so two weeks, somewhere in that neighborhood, but we're getting our first immersion containers that we're going to test. So we're looking into that. But the way our facilities are built, Kevin, is we can, if there's some great immersion, or hydro cool or something in the future, we could modify our facilities for that.
Kevin Dede: Okay, and then –
Wes Cummins: But we definitely are looking at that.
Kevin Dede: Right. So is, then what sort of happens to your dollar per megawatt infrastructure cost in that scenario?
Wes Cummins: Yes, I think if we added immersion into to what we're doing, you're going to look at an uplift of somewhere between 50,000 and 150,000 per megawatt, right now, that's what that looks like. And probably more towards the middle high end of that. We haven't found yet any immersion. Hopefully, we will, that is really cost effective from a price versus what we get a charge perspective. So, but we're constantly looking.
Kevin Dede: Given the $0.04 target on power. And I apologize for being new to the story, but have you outlined the power structure with your partner in Garden City. Are you behind the meter? Is there an opportunity once that PPA is in place to sell back?
Wes Cummins: Yes, so again, I think I had a question earlier, but we're under NDA with our partner there. And so when we can talk about that we will and hopefully that's in the next few weeks.
Operator: That concludes our question and answer session. I'd like to turn the call back over to Wes Cummins. Please go ahead.
Wes Cummins: Great. Thanks, everyone for joining the call and thanks for the questions. Feel free to follow up with us for anything and I just want to say thanks to all of our employees. It's been a lot of fun, but a lot of work putting all this together over the last year plus, but I just want to say thanks to everyone who's put in a lot of hard work and a lot of hours and we'll talk to you next quarter. Thanks.
Operator: Thank you for joining us today for Applied Blockchain’s earnings call. You may now disconnect.